Operator: Good day ladies and gentlemen and welcome to the Fourth Quarter Silicon Motion Technology Corp. Q4 2012 Earnings Conference Call. My name is Edwin and I will be your conference moderator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) Before we begin today’s conference, I have been asked to read the following forward-looking statements. This press release contains forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934 as amended. Such forward-looking statements include, without limitation, statements regarding trends in the semiconductor industry and our future results of operations, financial condition and business prospects. Although such statements are based on our own information and information from other sources we believe to be reliable; you should not place undue reliance on them. These statements involve risks and uncertainties and actual market trends and our results may differ materially from those expressed or implied in these forward-looking statements for a variety of reasons. Potential risks and uncertainties include, but are not limited to continued competitive pressure in the semiconductor industry and the effect of such pressure on prices, unpredictable changes in technology and consumer demand for multimedia consumer electronics, the state of, and any change in our relationship with our major customers and changes in political, economic, legal and social conditions in Taiwan. For additional discussion of these risks and uncertainties and other factors, please see the documents we file from time-to-time with the Securities and Exchange Commission. We assume no obligation to update any forward-looking statements which apply only as of the date of this press release. I would now like to hand our presentation over to our host, Mr. Jason Tsai, Director of IR and Strategy. Please proceed, sir.
Jason Tsai: Thank you, Edwin and good morning everyone. Welcome to the Silicon Motion fourth quarter 2012 financial results conference call and webcast. My name is Jason Tsai; I am the Director of IR and Strategy. With me here is Wallace Kou, our President and CEO and Riyadh Lai, our Chief Financial Officer. The agenda for today is as follows: Wallace will start with a review of some of our recent business developments. Riyadh will then discuss our fourth quarter financial results and provide our outlook. We’ll then conclude with Q&A. Before we get started, I would like remind you of our Safe Harbor policy, which is read at the start of this call. For a comprehensive overview of the risks involved in investing in our securities, please refer to our filings with the US SEC. For more details on our financial results, please refer to our press release which was filed on Form 6-K after the close of market yesterday. This webcast will be available for replay on our website, www.siliconmotion.com for a limited time. To enhance investors’ understanding of our ongoing economic performance, we will discuss non-GAAP information during this call. We use non-GAAP financial measures internally to evaluate and manage our operations. We have therefore chosen to provide this information to enable you to perform comparisons of our operating results in a manner similar to how we analyze our own operating results. A reconciliation of the GAAP to non-GAAP financial data can be found in our earnings release issued yesterday. We ask that you review it in conjunction with this call. With that, I would like to turn the call over to Wallace.
Wallace Kou: Thank you, Jason. Hello everyone and thank you for joining our earning call. I am pleased with our (inaudible) result for the fourth quarter and the significant progress we have made for the company over the past year. Our fourth quarter results were largely expected and we have communicated to you three months ago and provided solid finish to our record strong 2012. In 2012, we delivered highest annual revenue and EPS in our company’s history. We believe that our business remains very well positioned for further growth led by our company’s New Growth Products. Riyadh will go into our financial later in the call. First, let me start by taking you back to before 2012. Well, we had set ourselves two important goals that we needed to grow and quickly scale up our New Growth Products and that we needed to manage well, our large, but maturing core products. We have done just well on both goals. Our new growth product primarily, our eMMC controllers and LTE transceivers grew almost 140% and account for 31% of our full-year revenue. Our core products, primarily, our card and USB flash drive controllers grew 5% year-over-year. As a result, we grew our overall revenue 25% for full-year 2012. I am very happy with the tremendous success that we have achieved with our eMMC controllers business. 2012 was our first full-year of eMMC revenue and already for the full-year; eMMC account for roughly 10% of our overall revenue and we have become the eMMC merchant controller and market share and technology leader by now. We're now supplying our eMMC controllers to both Samsung and SK Hynix. Our flash partner supplying eMMC memory solution bringing our eMMC controllers to seven of the Top 10 smartphone OEMs. These seven smartphone OEMs already are mass producing smartphones, where the global flagship models are low cost phones, further involving entry OS Windows 8 and Blackberry OS using our eMMC controllers. In addition to smartphones and tablets, we have been broadening our eMMC controller wins and have now been design to Smart TV, smart set-top boxes and two leading gaming consoles. eMMC has become the industry standard SSD for mobile devices; all now smartphone and tablets, the eMMC are embedding memory solutions are putting up the operating system running software and application and for storing data. The smartphone and tablet market for eMMC were over 600 million units in 2012 and we expect these two segments of the market to grow in excess of 30% this year. In these two eMMC market segment combined, we have an overall market share of 5% to 10% in 2012 and are confident based on the projects that we have currently involved in, the two flash partners that we can grow our market share to 15% to 20% this year. Our strategy for business and with eMMC business has always been to work closely with NAND flash vendor themselves sales; enable their flash and allow them to go to the market and target handset, tablet and consumer electronics OEMs. Let me highlight some of our advantages and why our strategy will drive strong growth for eMMC products. First, the eMMC market in order to attract vendors is very difficult for any module maker to continue in this market today. We offer flash makers and eMMC controllers that are very robust high efficient, high (inaudible) data performance (inaudible) and all at low cost. The eMMC associated design and structure are much more complicated than card or USB controllers. Second, in order to achieve very high performance with very good power protection, the controller maker needs to have very deep knowledge in both NAND and controller architecture. NAND maker have to release their (inaudible) such as hidden commands to their select controller partners. These engagements rely on joint development, close partnerships and mutual trusts. We have to provide delicate resources in different physical locations for different NAND makers to ensure customers confidentiality. Third, the success of the eMMC businesses rely on SoC hardware design; (inaudible) robust qualification process and grow partnership with leading mobile chip set and platform makers. The solution need to be pre-qualified by leading chip set fabrication processor of platform makers before they send the design to their end customers. Lastly, the final step to make our eMMC program successful is to have strong technical support team in major geographic regions. Although mobile handset and tablet makers might use same chip set of [AP], they typically encounter different problems during initial development. Strong local technical support teams resolve this system design or network design or its know-how, chip level design and eMMC know how are the key to solving customer issue quickly. We have been building our global supporting team of infrastructure for more than 10 years now. eMMC is typically very important to Silicon Motion. It is a primary area where we are focusing our control R&D resources. Currently, all our high performance cost competitive eMMC controller after [eMMC 4.41]. We are already sampling our next generation eMMC 4.5 which doubled the render data read speed and tripled the render data write speed. This far down benefit manufacturer using 55 nanometer sample by our flash. As we said, this product will go into mass production in the first quarter of 2013. We are also planning to bring to market this year an EMMC controller that will support TLC Flash by giving the low cost solution investing for emerging markets like China. Our product roadmap also include the eMMC 5.0 which will be available late this year and [USS] 2.0 next year. The performance of the USS 2.0 is comparable to SATA 3.0 and target both high end Smartphones and tablets. Now let me turn to our LTE transceiver business. We started shipping our LTE transceiver to Samsung with 4G LG Smartphones and tablets starting 2010. Our LTE revenue growth in the two years season has been phenomenal. In 2012, our LTE revenue increased 65% and the carry forward approximately 15% of our total corporate revenue. In 2013, we believe we can grow our LTE revenue by another 50% to 75%. Samsung is currently passing our fifth generation LTE transceiver with their base band and we believe our new transceiver is on track in (inaudible) incorporating into (inaudible) for the year Samsung fashioned LTE Smartphones. Last year, our LTE transceiver was use in Korean domestic LTE Smartphones. We believe this year our transceiver will more likely be designing some of the US, European models and less likely the Korea’s domestic model due to the changing carrier requirements. Industry analysts asked me that last year approximately 110 million LTE Smartphones and tablets were sold. Our LTE revenue expectation this year is based on the market for this LTE device doubling. Samsung maintains its LTE device market share and Samsung is using a similar portion of their base band and our transceiver for the LTE devices. Our LTE revenue this year could be more or less than planned depending on how this factor brings out. Based on our experience over the last two years, our LTE revenue is very lumpy quarter-to-quarter. In the last two years almost half of our annual LTE sales took (inaudible) in the third quarter. First quarter sales are the weakest. Sales pickup in the second quarter of Samsung (inaudible) launch of new product for the second half of the year. In the fourth quarter sales went down. While we cannot provide assurance that our LTE sales pattern which we’ve experienced in both 2011 and 2012 will repeat itself. We will believe that the past sales pattern may happen again this year. Furthermore, the timing and roll out of Samsung’s products may vary by geographic and carrier, even for the same flagship model as well as the case with (inaudible) last year. Our LTE sales visibility will not improve until Samsung confirm to [specific] program that we have won. We believe that in 2012 Samsung owned LTE baseband account for approximately 25% of total Samsung mobile LTE Smartphone shipment. We believe that Samsung could top overall LTE shipments in 2013 as compared to 2012, and the main growth areas this year are in United States and Europe. Our main goal is to be the best LTE transceiver product to meet Samsung’s specification and match their new product launch schedule. Samsung mobile keep multiple sourcing strategy to maintain price competitiveness and maintain [dividend] plan for flagship product in given country. LTE is Samsung’s first opportunity to demonstrate their own capability to use their internal model with their own (inaudible) processor. We believe Samsung is fully committed to their internal chipset and LTE development program of their long-term strategy. We continue to work very hard to be part of the long-term internal LTE solution and as a value add partner to Samsung. We're assembling our third generation LTE transceiver and expected to enter mass production shortly. This is a highly integrated product that can manage in a single die GSM, EDGE, HSPA, TD-SCDMA and both TBD and FTD LTE. Our transceiver can also manage our 4G LTE band defined for LTE service. Our next solution and LTE advanced transceiver for Samsung is scheduled to begin initial sampling later this year. Overall, we are pleased with the progress of LTE transceiver business with Samsung continues to feel good about meeting Samsung technical and cost targets. Let me now turn to our core products our card and USB flash drive controller business. The market for both card and USB controller are mature. The market for memory card may have started to decline modestly last year and will likely decline again modestly this year and this cycle of decline will continue as smart phone OEM in bound more memory and bundle fewer cards. We have been fairly good in managing our card business despite this [secular] decline. Our card controller revenue increased 18% last year and our year-to-date revenue increased 4%. We have managed well by mainly focusing on supplying controller to low density micro-SD card out into China low Smartphone cost market. We have also benefit by selling cutting-edge controller for managing the newest and most difficult to manage a flash, (inaudible) half of our card revenue growth in 2012 was from higher --- believe the testament we believe to the value add like (inaudible) that we bring to customers. In the fourth quarter, controller for our bundle card sales increased sequentially, our retail card controller sales declined. Bundle card are now over two-third of our card controller sales. Our USB controller sales were up modestly sales for both card USB controller were limited by tight availability of NAND flash to multi maker, the flash maker facing the inventory during the peak sales season. In 2013, we believe the card controller market will continue to decline modestly. Smartphone card bundle rate in developed market like US have already fallen too low but stable level of average embedded memory for Android phone are now already over 10 gigabytes. The fastest growing card market by now is in China and other developing countries. So bringing this more cost sensitive markets are low cost Smartphone manufacture by Chinese OEM. This low cost Smartphones currently have an average only one-to-two gigabyte of memory. So there is a strong in NAND of micro-SD cards to provide incremental data storage. We are managing the secular decline of the card market by focusing on China market and higher performance, high value add markets such as (inaudible) and higher data rate cards, as far as UH-1 cards. These higher performance cards are referral for recording full HD video such as 10 pixel resolution and higher (inaudible), the function in (inaudible) the variable with both digital camera and Smartphones. In the first quarter, our sales for card and USB controller to module maker customers will be significantly down as expected. Flash makers have also been limiting the sale of flash wafer to model maker to support prices. More importantly, however our larger OEM customers have been rebalancing its card and wafer sale and this will negatively affect our controller cell temporarily. This customer has been reducing its cost production and very easily has begun to release wafer from its inventory into the market. We expect our card and USB business to rebound in the second quarter as more fast inventory is made available. We believe it is likely that the China bundled card market will increasingly be supplied by Chinese model makers, the largest of which are all our loan (inaudible) customers. Overall I'm pleased by the progress that we have made in managing the slowdown to our core products and delivering rapid growth by our new gross product. Our eMMC and LTE were convenient to be our star products. We are planning later this year to talk more about our high performance cost competitive (inaudible) SSD controller for both NAND flash, SSD and full size [IFD] as well as our unique FerriSSD solutions for embedded applications. I will now turn the call over to Riyadh to discuss our financial performance.
Riyadh Lai: Thank you, Wallace. First I will outline our financial results for the fourth quarter and then I will provide our first quarter and full year 2013 guidance. As Wallace had mentioned, we delivered $70.6 million in sales this quarter, an 8% decline compared to the prior quarter and a 5% increase compared to the fourth quarter 2011. In the fourth quarter, sales from our new growth products decreased 27% sequentially primarily because of Samsung’s third quarter accelerated LTE orders. New growth products accounted for 30% of total sales down from 40% of total sales in the prior quarter. For the full year 2012, new growth products accounted for 31% of total revenue up from 16% in 2011. Let me recap the performance of our of two key product lines. First mobile storage, mobile storage revenue was flat sequentially and up 12% year-over-year. Mobile storage controller shipments decreased 7% sequentially and 2% year-over-year. Mobile storage controller ASPs increased by 8% sequentially and 14% year-over-year, our 12 consecutive quarter of annual ASP increases. For the full year ASPs increased 11% in 2012 compared to the prior year. Our card controller revenue decreased by 5% sequentially and our USB flash drive controller revenue increased by 1% sequentially. Over 50% of our SB and USB controller sales are supporting 19 to 21 nanometer NAND flash. This portion is similar to our third quarter sales. OEM revenue was unchanged in the fourth quarter as compared to the third quarter and accounted for 65% of our controller sales in the fourth quarter. Moving to mobile communications, mobile communications revenue decreased 32% sequentially and increased 2% year-over-year driven largely by the accelerated build and shipment of our LTE transceivers to Samsung in the third quarter. Our corporate gross margin decreased in the fourth quarter to 44.6% from 46.4% in the third quarter and in line with our guidance range. As we had indicated last quarter, our short-term gross margin decline was a result of a strategic pricing initiative we undertook with one of our strategic partners. We believe that the fourth quarter represented low risk gross margin level for us and we should seek modest improvement beginning in the first quarter and throughout 2013. We expect to return to our historical range of 48% to 50% by the third quarter of 2013. We're making good progress in transitioning to more cost effective 55 nanometer products and expected to significantly help gross margin in 2013. Currently, the vast majority of our cards and USB flash drive controllers are manufactured at 110 nanometer or older processes. Our existing eMMC controller while an above average gross margin product is also manufactured at 110 nanometers. All of our new products including new card and new eMMC controllers that we have recently taped out or will be taping out our at 55 nanometer, except a new USB controller that has be redesigned to be very low cost, even manufacturing at an older process note. We target a third of our products to be at 55 nanometer by the fourth quarter. Additionally, our gross margin will improve as our product mix shift towards new growth products, the gross margin of which are above corporate average. Our eMMC sales will grow quickly throughout this year. Our LTE sales should rank sharply in the third quarter. We expect 40% to 45% of our sales to come from new growth products this year and this will help our gross margin. Our operating margin in the fourth quarter was 19.5%, a decline from the 25.9% in the third quarter. In the fourth quarter operating expense increased to $17.8 million from $15.8 million in the third quarter as project expenses including 55 nano take outs that were delayed in the third quarter occurred in the fourth quarter. We ended the fourth quarter with 688 employees, 11 more than at the end of the previous quarter. Earnings per ADS in the fourth quarter were $0.36, a decline from the $0.54 in the third quarter as a result of more revenue, gross margin and higher operating expenses. Stock based compensation in the fourth quarter was $3.4 million similar to the third quarter. I will now move to our balance sheet and cash flow. Inventory base increased slightly to 78 days in the fourth quarter from 77 days in the third quarter. DSO increased slightly to 48 days in the fourth quarter compared to 47 days in the third quarter. Payable days increased to 61 days in the fourth quarter compared to 47 days in the third quarter. In the fourth quarter our cash balance increased by $23 million to $169.6 million at year’s end. In terms of primary sources of cash, we generated $12.4 million in net earnings a decrease in inventory levels generated $4.7 million and an increase in accrued expenses generated $4.1 million. We invested $1.3 million for testing equipment, software and design tools. I will now move on to our guidance. For the full year 2013 we believe our eMMC revenue should roughly double and LTE sales should grow 50% to 75%. We believe our new growth product should grow to account for 40% to 45% of our total full year sales and new growth product could be as high as half our sales by year end. The majority of our total sales in 2014 should come from new growth products. In 2013 and 2014, we believe our core product should be flat as best, our card and USB controller sales should decline modestly. For the first quarter, we expect our eMMC revenue to grow sequentially and LTE sales to decrease as Samsung flagship smartphone and tablets models are in transition. Additionally while our sales of card and USB controllers to module maker customers will be seasonally down as expected, our large OEM customer is rebalancing its card and wafer sales and this will temporarily impact our card controller sales in the first quarter. In the second quarter, we expect our eMMC sales to continue growing, our LTE sales to pick up and our card and USB sales to reboot. For our first quarter guidance, we expect first quarter revenue to be down 15% to 25% sequentially. We expect first quarter gross margin to be within the 44% to 46% range. We are targeting operating expense to be in the range of $17 million to $18 million. Stock based compensation expense should be approximately $2 million to $2.5 million. Our targeted mobile tax rate remains at 15%. For our full year 2013 guidance, we expect full year 2013 revenue to grow at 10% to 20% as compared to full year 2012. We expect full year gross margin to be within the 46% to 48% range. We are targeting operating expense to be in the range of $73 million to $78 million. Stock based compensation expense should be approximately $12 million to $14 million. Our target model tax rate remains at 15%. We will now open the call for your questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. (Operator Instructions) Your first question comes from the line of Daniel Amir from Lazard Capital. Please ask the question.
Daniel Amir - Lazard Capital: A couple of questions here, first of all, on the LTE business; Wallace you said that there might be a shift in terms of carriers that historically have went with Qualcomm, they are now going to go with Samsung and the countries’ I guess, the share in the countries might get split. Can you expand a bit more what is exactly happening there? And then second is how do you think your share shift will, you say it’ll stay the same, can you just reiterate kind of what you think the share is currently in the market and how do you think its going to stay the same given the change of the geographical distribution of your product? And then I have another follow-up. Thanks.
Wallace Kou: Hi Daniel, let me clarify your first question. First, we do not imagine simply regarding LTE and winning or loosing to whatever the supplier. However, we do mention in some carriers specifically in Korea region it’s got requirement for carrier application. So I think this relates to certain base band solution whether you support carrier application or not. It has nothing to do with LTE transceivers. So we cannot comment and as for the mobile phone, their own decisions. Now regarding to your second question, I think Samsung will continue to use their own base band as a way to ensure that all their suppliers are offering the most capable solutions for the best price. Samsung also wants to differentiate their solution and using their own base band allows for that. We are there to make sure that Samsung solution is as competitive, as well as it’s revenue available for other base band providers. Now we believe Samsung is using their own base band is only about one quarter of their LTE devices and would like to use more of their own solution when their solution becomes more stable and mature and then we think we can continue to keep the same portion percentage and for the Samsung mobile smartphone with LTE.
Daniel Amir - Lazard Capital: So just to follow-up on that, so your share is somewhere around one quarter you think; something like that?
Wallace Kou: That's correct.
Daniel Amir - Lazard Capital: Okay, alright. And then the following question, two follow-ups, one is the eMMC area you know you highlighted that you have, it seems like you have a number of big growth opportunities here. Should we expect this to increase every quarter pretty significantly or is there a certain linearity here to the quarters as the year progresses; because it looks like you saw in the game console, TVs, set top boxes, I mean is the vast majority of the revenues basically from handsets and those other products don't really matter much and therefore it should increase as the year progresses or is there seasonality aspect?
Wallace Kou: I think we can only mention that our eMMC revenue will grow quarter-by-quarter in 2013. We have high confidence regarding our current design pipeline with our two major flash suppliers. We don’t want to comment outside, but we are, there are additional potential opportunities from NAND maker come to us when our resource will be available in the second half of the year, we will be ready to expand more opportunity with other several flash makers.
Riyadh Lai: Daniel, let me also add to your question, most of our eMMC controllers are going in to memory modules targeting the smartphone industry. So the bulk of our volume will be driven by the smartphone industry, but its fantastic opportunity for us to have other applications like tablets, smart TV, smart set-top boxes and other applications that also required eMMC controllers and we've been designing to many of these, so we're delighted that addressable market is growing and enabling us to go in to more and more different directions.
Daniel Amir - Lazard Capital: Okay, great. The final question just on the tax rate, Riyadh, I mean, 15%, has anything changed this year, I mean, you’ve really never had 15% tax rate; it's always been a lot lower, so anything to clarify there?
Riyadh Lai: Well, the tax regime in Taiwan is (inaudible). There is a lower amount of R&D tax credit being available as over the next year. So we're holding to our 15% model tax rating and 15% continues to be what we use from modeling our business internally.
Operator: Thank you. And the next question comes from the line of Anthony Stoss from Craig-Hallum. Please ask the question.
Anthony Stoss - Craig-Hallum: I guess I have a two-part question; Wallace or Riyadh, you were talking about potential new eMMC customers coming in line; if you wouldn’t mind sharing a little bit more color, if you think that’s kind of the December quarter and to that same point heading into 2014, can you give us a sense of growth expectations from both your LTE and the embedded side of the business? Thank you.
Wallace Kou: I think we could say that we already have other OEM coming to us for eMMC solutions, but we also have a recent constraint. eMMC requires dedicate development and supporting team, as I said and mentioned earlier and we are in the process of building this new and new teams and we should be ready to support and serve OEM in the second half of this year; that’s all I can say. Regarding to 2014, we actually see our market share can grow in eMMC space area as we may guide above 10% to 20% for 2013; for 2014 we can grow to higher percentage with the eMMC market share growth as well as the new additional OEMs.
Anthony Stoss - Craig-Hallum: Okay. And Riyadh if you won’t mind you talked about grow margins jumping throughout the year; can you reiterate what those numbers were and then also what gives you the confidence I guess specifically to that September quarter gross margin that you can get there? Thanks.
Riyadh Lai: Gross margins were 46.4% in the third quarter and they came down to 44.6% in the fourth quarter, so well within close to the midpoint of what we had guided previously. Our roadmap for returning to our 48% to 50% gross margin level is based on close to lower cost 55 nanometer manufacturing processes as well as increasing the proportion of our new growth product sales. The new product sales with this production we have hard gross margin. In terms of the first item moving to 55 nanometer manufacturing processes, we are making a very good progress in transitioning to these more cost effective products. Currently, the vast majority of our card and USB controllers that I previously mentioned are manufactured at 110 nanometers or older processes, all of these parts including new, all of my parts, I am sorry, including new card controllers, new eMMC controllers that we have recently tapped out or we will be tapping out, will be tapped out at 55 nanometers. So we are targeting the total of all our products to be at 55 nanometer by the fourth quarter and this is going to help our gross margin significantly. Furthermore, we will also going to be blending up our gross margin as we sell more and more new growth products. Our gross margin will improve as this new growth products are about 5 corporate average gross margins. Our eMMC sales will grow quickly throughout the year as well as I just talked about and we believe our LTE sales should start ramping aggressively in the third quarter.
Operator: Thank you. And the next question comes from the line of Mike Crawford from B. Riley & Company. Please ask your question.
Mike Crawford - B. Riley & Company: Thank you, regarding your SSD business, so you expect that to become more significant once you have your status free cash as in the market or is that selling now?
Wallace Kou: Let me comment, we already starting sampling our SATA 3.0 SD controller, while we are late mover into ASP controller market, but being a late mover, I will go have this advantage that we have better understanding about the overall landscape and competition which allow us to have a more focused strategy when coming to design and marketing our ASP controller as well as our supporting for the next generation NAND of 2Y nanometer and 1A nanometer, it seems we have more compelling support in the new NAND solution. We are targeting for both NAND Flash and (inaudible) client SD market to use of SATA 3.0 controller. We believe we have a very compelling performance and power consumption and very competitive cost. We expect to see initial revenue contribution in the second half of this year, it seems our ASP controller are currently only sampling, and it’s too early to talk about revenue contribution. We will update you as the year progresses.
Mike Crawford - B. Riley & Company: And then combined with all of your SSD products including the industrial fair eye branded SSDs what percent of revenue was SSD in 2012?
Riyadh Lai: Our new growth product as a total for 2012 was about 31% of total revenue. Our card, our LTE was about 15%; our eMMC was about 10% so it’s a balance, the balance that adds up to 31% coming from our SSD products.
Mike Crawford - B. Riley & Company: Okay. Thank you Riyadh and then just getting back, can you please just give a little bit more color what you mean by large customer rebalancing, the card business that's affecting you and you want to talk to what's happening there?
Wallace Kou: Yeah, similar to Flash OEM user card market and the module maker market as a buffer to their supply output. If supply is outpacing demand then it is so easier as a card or the wafer to module maker are held of inventory. This market is very dynamic and so can change quickly and technically depending on the royalty, profitability of a card versus wafer and other strategies considerations such as marketing timing. As the largest supplier of controller for Flash maker and the module maker, we benefit whether Flash maker make a card or module maker make a card. In the first quarter, we are seeing a short and shift away from (inaudible) card business as this can change course again very quickly. We are starting to see increasing deals wafer being released to module makers. This sale is relatively small. We expect wafer sale to become more meaningful in the second quarter. I think that every NAND maker, they have their own strategy and looking for maximizing their profits. We cannot comment whether it’s just to be consistent, and it’s very dynamic. The easier way I think we can grow for our card business and controller.
Operator: The next question comes from the line of Rajiv Gill from Needham & Company. Please ask your question.
Rajiv Gill - Needham & Company: The 2013 annual growth of 10% to 20% implies a very steep ramp in the second half something in the order of maybe 40% to 50% from second half versus first half depending on what 2Q is, just want to give a sense of what are the kind of drivers for that very significant ramp in the second half, what are some of the risks that second half ramp might not materialize?
Riyadh Lai: Rajiv, there are three pieces to our growth for this year. Our eMMC, our LTE and our card and USB business. Our card and USB business, we're expecting modest decline for 2013. Our eMMC business, we're expecting that revenue to essentially double and grow sequentially for the full year with a total full year revenue being roughly double what it was the prior year. Our LTE revenue should grow by about 50% to 75% for the full year compared to the prior year but this part of the business will be lumpy. As we previously talked about, we have regenerated a very large part of our LTE revenue in just one quarter. In the past two years, sales pattern are a precedent. We generate almost half of our LTE revenue in just the third quarter with smaller revenue, LTE related revenue in other quarters. So that’s going to one of the biggest moving parts in our revenue to get to the 10% to 20% revenue guidance for the full year.
Wallace Kou: So let me add some color here. So I think for eMMC growth, we have the very high confidence; we may have potential upside with our guidance regarding eMMC growth revenue. In the LTE side, if the risk is dependent on the production of Samsung new models and their selection about the solution and we're only LTE transceiver provider and we also depend on the baseband and other processors altogether becoming the new flagship model. Sometime it could be delay, sometime it may be moving earlier, so we cannot tell until that but however I think we know in today our fifth generation LTE transceiver is in very good shape, (inaudible) quality they meet the expectation and we believe we can win as well as they are planning a certain percentage to be general solution. So I think this moving part is (inaudible) where they will moving up or delay but I think (inaudible) we have confidence.
Rajiv Gill - Needham & Company: That’s helpful and Wallace, you touched upon this before, but the NAND supply environment is expected to remain pretty tight, you looked at if you look at what Sandisk is saying or Samsung is saying they are looking at kind of 30% to 40% bid growth which is kind of historical low levels of NAND supply. They might increase NAND supply in the second half but it’s not certain. Wondering in terms of how that that tightness of supply impacts the module makers and how do you offset that at the OEM level?
Wallace Kou: I think the availability was a bit tight in the fourth quarter and currently remained tied as a fresh vendor hesitant to release too much flash into the market to module maker and to protect their NAND price. However, we are already seeing initial sign of additional wafer coming to the market with our China and Taiwan module maker customers, (inaudible) variability should improve in the late first quarter and that we are also believe there will be more supply of flash from NAND flash maker to both OEM and module maker in the second half. And so I think the overall I believe flash maker that without mean for more conservative guidance and because of the high demand balancing, but however [SSD] NAND has been significantly stronger then supply, incremental flash capacity can be brought online fairly quickly with introducing NAND, since module flash makers their (inaudible) are currently not fully noted especially Toshiba, they cut back 3% of capacity and I think they can recover to resume quickly by early second half.
Rajiv Gill - Needham & Company: Thanks, and just last question, just that I understand it correctly. You said the core product should be flat at best in 2013 and the card business would decline modestly?
Riyadh Lai: That's correct. Our core business is primarily are card and USB flash drive products, and so at best they are going to be flat but we believe our card and USB flash drive business, everything related should decline modestly for the full year?
Rajiv Gill - Needham & Company: And is this mainly the result of significant decline in the attached rate for bundled cards? I just think that of your card controller business, is that why you are kind of saying cards can decline modestly?
Riyadh Lai: That is correct.
Operator: Our next question comes from the line of Bob Gujavarty from Deutsche Bank. Please ask your question.
Bob Gujavarty - Deutsche Bank: I know it’s all difficult given about a one-time type of things and design cycles and all that. But what do you think is the seasonality of your business. Is it primarily a 2Q, 3Q phenomena and then kind of 1Q and 4Q or relatively weak. How do you think about your business now given where you are trying to grow?
Wallace Kou: I think that for NAND controller business like we always saw weakest quarter, second quarter and third quarter will continue to grow, fourth quarter could be slightly declined or flat, but for LTE fourth quarter will always go down, for the (inaudible) and for our product line business the fourth quarter will all go down, Q1 also is weak. It depend whether it will be more new model design pipeline. I think currently we see the product transition in Q1 for LTE cell revenue decline bigger than in no more our product line, although I think when LTE business growing bigger and for the mobile space then we probably won't see such a big decline from first quarter.
Bob Gujavarty - Deutsche Bank: And also some of the margin pressure because of strategic pricing moves you made, if you could expand a little bit on how that creates a revenue opportunity. Is it across your product line, is it certain key parts to your product line, can you talk about when we see some of that revenue because you took the margin and ASP head but up till now you haven't really seen the revenue come through so just can you talk about that a little bit.
Wallace Kou: I think its difficult for us to talk about specific customers. I think based on the business engagement, based on commitments some time our major customers they really suffer the price decline, and we have to share a certain plan. So whether there will be really upside for the business, but at least it will maintain the customer relationship and continue to engage long term business.
Operator: Our next question comes from the line of Tom Sepenzis from Northland Capital.
Tom Sepenzis - Northland Capital: I'm just trying to get a better sense of the quarter-to-quarter decline in the card business in Q1. Given the rebalancing, it seems like most of the change in guidance is coming from that. So I am wondering if you can provide a little bit more color there. And then what gives you the confidence that that card business will rebound starting in Q2.
Wallace Kou: I think for OEM business the card controller is specifically stable. If you are looking for Q3 to Q4, the revenue will remain unchanged and we think in Q1 it maybe some (inaudible), this would probably maintain (inaudible). However due to the supply to module maker is limited so we see module maker portion for the car business a decline sequentially quarter-to-quarter. For second quarter we believe the availability of a NAND supply in the second quarter will be increased that's why we can’t predict we should see a better rebound for card controller business in second quarter.
Tom Sepenzis - Northland Capital: And what is the current yield on 55 nanometer, are you having any issues there or is that coming off the line and working pretty well for you.
Wallace Kou: 55 nanometer is very mature process technology, we use the (inaudible) lowly process technology of 55 nanometer. We are supposed to see around 90% yield around that range.
Tom Sepenzis - Northland Capital: And you announced four new LTE handsets in South Korea in the press release, I am just wondering if you could give us some color there as to when that starts to hit the model and if we can see any kind of help from that in Q1 or if that’s more Q2, Q3 type?
Wallace Kou: I think we announced four new LTE models design and shipping in the first quarter. However, I think the (inaudible) was a fraction model relative small. So that’s why you won't see a significant revenue increase, however after we win the major fraction model for LTE and you are going to see the major revenue rebound. We expect to see increase from late Q2 and ramp up very quickly in the third quarter of this year.
Operator: Thank you. Ladies and gentlemen, that’s all the time we have for question and I will now like to hand the conference back to Jason Tsai, Director of IR and Strategy for closing. Mr. Tsai?
Riyadh Lai: Before I hand the call to Jason, I am just going to make a statement about our dividend. As you know, we have declared dividend. So we just want to talk little bit more about our dividend policy. Essentially, barring any very exceptional events, we're expecting that our $0.15 per quarter dividend to be an ongoing event. As our business improves and scales, we could look to increase the dividend amount. We believe we can generate a fair amount of cash flow throughout our business cycle and $0.15 a quarter is a comfortably affordable amount for us. So for modeling purposes, we would guide that $0.15 per quarter should be an ongoing amount. So let me turn the call to Wallace for closing remarks.
Wallace Kou: I would like to thank all of you for joining us today and your continued interest in Silicon Motion. We will be at the following conference this quarter. In March we will be presenting at the (inaudible) Semiconductors Summit in New York, Northland Technology Conference in New York, Merrill Lynch Conference in Taipei. These obvious events are available on our website. Thank you and good bye for now.
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. Thank you for participating you may all disconnect.